Operator: Welcome to the Frank's International Q3 FY’14 Earnings Call. My name Alexandra and I will be your operator for today’s call. At this time all participants in a listen only mode. Later we will conduct a question-and-answer session. Please note, that this conference is being recorded. I will now turn the call over to Thomas Dunavant. Thomas you may begin.
Thomas Dunavant: Good morning, everyone. And welcome to Frank's International's conference call to discuss third quarter earnings. I am Thomas Dunavant, Manager of Finance and Investor Relations. Joining me on today’s call are Keith Mosing, Chairman, President and Chief Executive Officer; John Walker, Executive Vice President of Operations; and John Sinders, Executive Vice President of Administration and Interim CFO. Keith will begin today's call with general highlights, John Walker will provide an overview of our operations, then John Sinders will provide a review of our results and outlook. Keith will then provide some closing comments. Before we begin commenting on third quarter results, there are a few legal items that we would like to cover. First, remarks and answers to questions by the company representatives on today's call may refer to or contain forward-looking segments. Such remarks or answers are subject to risk and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements and such statements speak only as of today's date or if different as of the date specified. The company assumes no responsibility to update any forward-looking statements as of any future date. The company has included in its SEC filings cautionary language identifying important factors that could cause actual results to be materially different from those set forth in any forward-looking statements. A more complete discussion of these results is included in the company's SEC filings, which maybe access on the SEC’s website or on our website at www.franksinternational.com. Also you may access both the third quarter earnings press release and a replay of this call on our website. Please note that any non-GAAP financial measures discussed during this call are defined and reconciled to the most directly comparable GAAP financial measure in the third quarter 2014 earnings release, which was issued by the company today and is available on our website. I will now turn the call over to Keith for his comments.
Keith Mosing: Okay, thank you, Thomas. Third quarter results, I’m very pleased to report, were very good. Results showed continued increase in international deepwater activity, as well as continued rebound in the U.S. land business. However, our Gulf of Mexico was impacted by loop currents again this year. Overall, as I mentioned, we're very pleased with our results. Revenue increased 9% for the second quarter. EBITDA margins were 40% in the quarter. Current dividend yield is over 3%. Our outlook for 2014 is in line with previous guidance. We expect strong growth in the Gulf of Mexico and our International business, continued improvement in the US land business, also. Steady contributions are coming in from our tubular sales. 2015 guidance will be in February of 2015. Frank's focus is on serving the customer. Our customer is generally a petroleum or mechanical engineer working in the oil and gas industry. We follow that engineer from graduation to retirement. As they grow within their company and take on more responsibility, we are there to service them throughout their entire carrier. I will now turn the call over to John Walker and John Sinders for their comments before providing my closing comments.
John Walker: Thank you, Keith. As Keith said, we are very pleased with our third quarter results. We grew revenue 9% compared to the second quarter with an adjusted EBITDA margin of over 40%. Within our U.S. Services segment, U.S. land business continued to grow, where we have been regaining market share due to our recent refocus within this market. Offshore activity in the Gulf of Mexico was hampered in the quarter by loop currents, but our expectations are for continued increased in activity and rig count. Our International Services segment continues to grow as more rigs are working in our markets and we’re providing additional services to our customer in those markets. We continue to look for ways to grow and leverage on our tubular sales segment. Despite macro concerns regarding oil prices and seasonal issues in the Gulf of Mexico, our outlook for the balance of 2014 remains unchanged. We continue to have increased opportunities in all segments that are leading to revenue growth. Now turning to our business segment results, our International Services revenue for external sales increased 11% sequentially, and 18% year-over-year to a $143 million. West Africa, Europe, Latin America and the Middle East all had double-digit sequential growth. In Africa, we continue to gain more work, signing several new contracts in Nigeria and Angola for work starting in upcoming quarters. Angola and Nigeria are two important markets for us from both our market share and size perspective. East and West Africa as well as Egypt present continued growth opportunities going forward. Activities in these areas has been increasing as the pipeline of opportunities indicates growth well into 2015. In Europe, our primary market is Norway, where we have at an almost 40% sequential revenue growth. In the third quarter, we continue to expand our product placement with existing customers. We executed a high value, high margin completion job in Norway using our Collar Load Support system and our patented Fluid Grip technology for a large independent oil company, the first in the region with this customer. We hope to build on this success and product placement to drive more opportunities with this customer. The Middle East is presently a smaller market for us, but one with a lot of potential. We discussed last quarter the Integrated Project Management or IPM contracts that we have secured. In addition to those opportunities, we had success selling our services with drilling optimization equipment within the region. Our Harmonic Isolation or HI tool along with our Cutting Bed Impelleror or CBI tools, have had success in this market both on and offshore applications. These tools will drive continued success into 2015. In the Far East, we have been successful at increasing our market share in Australia commencing work on a drill ship in the region during the third quarter. This is a market that we have identified as a growth opportunity for the company and we are pursuing several additional opportunities in the region. Latin America has pockets of opportunity for us. In the third quarter, we mobilized our equipment to commence work during the fourth quarter on a tension leg platform rig, running wiser running services in Brazil. Existing tenders show that activity could increase in some of the northern and western coast countries, including Colombia and Peru. Overall, the region is growing for us. The revenue is up double-digits sequentially versus the second quarter. We expect continued growth off a small revenue base. Lastly, Canada, although the East Canada offshore market is a small market compared to the Gulf of Mexico and West Africa, we have a strong market share. We expect to begin work on an additional semisub, further increasing our market share within the region. Overall, adjusted EBITDA margin for International Services in the third quarter was 46% of external sales. Adjusted EBITDA margin increased sequentially, as we had less in-freight charges in the quarter and previous quarter mobilization and labor training expenses led to revenue in the quarter. Now moving to the U.S. Services, revenue for external sales increased 6% sequentially and 4% year-over-year to $112 million. Adjusted EBITDA margin for the U.S. Services in the third quarter was 41% of external sales. Adjusted EBITDA margins were lower than the prior quarter, due to the mix of business between the U.S. onshore and the Gulf of Mexico. Within our U.S. services segment our Gulf of Mexico revenue was essentially flat sequentially, but grew 7% year-over-year. Our Gulf of Mexico results were impacted by lower rig activity due to loop currents, slightly offset by completion and shelf activities. These currents cost unplanned rig idle time and therefore reduced our revenue. The currents are present every year, but this year they’ve lasted longer than expected. Despite the delays related to loop currents, we did begin operations on two new build rigs in the Gulf of Mexico during the quarter. We expect to be working on these rigs, both drillships, throughout the rest of the year and into 2015. Revenue for the land portion of our U.S. segment increased 18% sequentially to $46 million. Year-over-year results were down 1%, sequentially our two large revenue growth divisions were Eagleford and Permian both grew over 25% versus the previous quarter. The U.S. land business has recovered better than expected. We’re very pleased with the results after our recent management and strategy change within the market. We continue to look for ways to reinvest in this market in order to capture more market share. We do expect results for the U.S. land business in the fourth quarter to be flat to down sequentially due to weather and holidays. Lastly, tubular sales revenue for external sales in the third quarter was $41 million, this was up 7% sequentially and 1% on a year-over-year basis. Adjusted EBITDA margins for tubular sales in the third quarter was 23% of external sales. We recently hired a new head of tubular sales. In his short time with the company, he has identified opportunities for us to grow this business and position ourselves to provide tubulars to our customers around the world. This emphasis along with internal development that we’re pursing will allow the segment to deliver further growth in coming years. Overall I’m very satisfied with our results and the opportunities we are pursuing for 2015. I continue to push to find ways to increase our time on the rig and the amount of equipment that we place on the rig. This effort will increase the value that Frank’s provides to our customers and increase the returns that will be deliver to our shareholders. With that let me turn over to John Sinders to review the financial results for the quarter and outlook for the year.
John Sinders: Thank you John, I’m also very pleased with our quarter’s results. We had a solid overall results in the third quarter and are maintaining full year outlook. As we said in our last earnings call, we were confident in our second half expectations and the strong third quarter positions us to meet our full year expectations. Now turning to the results for the third quarter. Total revenue for the quarter was $296 million, a 9% sequential increase and a 10% increase year-over-year. Net income for the third quarter was $67 million with net income attributable to Frank’s International NV at $47 million or $0.31 a share. Diluted net income, which includes $3.7 million and assumed tax impact of conversion of preferred shares was $63.7 million or again $0.31 per diluted share. A full reconciliation of our EPS calculations is included in our press release. Our adjusted EBITDA for the quarter was $121 million or 41% of revenue. For the first nine months of 2014, our adjusted EBITDA margin was 39%. Due to the timing of our revenue and the mix of business between our segments, long-term trends are a better measure than short-term results. We will discuss 2014 outlook in a minute, but we continue to expect adjusted EBITDA margins to be in the high 30%s going forward. On September 30, we had $468 million in cash and essentially, no debt. Our CapEx spend for the first nine months was $124 million of this $85 million was in equipment, with the remainder spent on buildings, vehicles, and other PP&E. We continue to estimate CapEx for the year to be approximately $190 million. Our full year 2014 expectations are unchanged from the second quarter. We expect both our International Services segment and the offshore portion of our US Services segment to grow revenues at least 10% year-over-year. This is broadly in line with the secular rig count growth in their regions. We expect revenue from the onshore portion of our US Services segment to be down 10% year-over-year. We also expect our tubular sales segment to grow revenues at least 4%. Lastly, we are estimating a full EBITDA margin of between 37% and 39% was an effective tax rate of 20% to 25%. For our fully diluted EPS calculation, there's an additional tax expense, due to the assumed conversion of preferred shares and the elimination of the limited partnership interest. This increase is the tax rate by about five percentage points. For modeling purposes, this should be applied to income from continuing operations to arrive at our diluted net income. Diluted EPS is in the number divided by our diluted share count, which is currently 280 million shares. The reconciliation of our earnings release and 10-Q shows this calculation, but please feel free to reach out to us with any questions you may have, as we know these calculations are very complex. Implied in our full-year results is a flat to slightly up sequential total Company revenue in the fourth quarter. This is due to seasonality in some markets and differences in the timing of projects completion and initiation. Our Board of Directors has declared a $0.15 per share common dividend, subject to applicable Dutch withholding taxes, for the record date of November 28, with payment on December 15. Lastly, we are attending several investor conferences this year. We'll be presenting at the Jefferies Energy Conference on November 11, the Cowen Energy Conference on December 2, and the Capital One Energy Conference on December 10. Please visit the Investor Relations section of our website for links to these webcasted events. We also will have an updated investor presentation on our website next week. I will now turn the call back over to Keith for some final comments before we open the call up to Q&A. Keith?
Keith Mosing: Thank you, John. We're very excited about the opportunities we see in the industry in 2015. Whether the industry is up or down, we feel that Frank's is on track. Our strong balance sheet enables us to grow, even during a downturn, and our exclusive patented equipment helps us and gives us an advantage, whether the market is up or down. Our CFO search continues and we should have an update for you soon. I want to thank you for your continued interest and support in Frank's International. We will now open up the call for your questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) Our first question comes from Robin Shoemaker from KeyBanc Capital Markets. Please, go ahead.
Robin Shoemaker – KeyBanc Capital Markets: Thank you. And I just wanted to start off by asking about the Gulf of Mexico. You mentioned a couple of rigs started operations and that was one of the issues for this year is some delayed startups of rigs. And recently, we've heard about some rig delivery delays at shipyards. So, apart from the loop current issue, which you've described, where do we stand in terms of the rigs that you expected to be working on in 2014 and how many more are there that will come in, say the next six months or so?
John Walker: Good morning, Robin. This is John Walker speaking. So, in regard to your question, the loop currents, as I mentioned earlier that was actually offset by additional market share that we secured in the completion on the shelf side of the business. So, we even thought the loop currents were longer than anticipated. It didn't have such a material effect in the overall plan. With regard to new rigs coming in, we have two more rigs coming in Q4, and we've talked to our client or clients and there is no indication, at this time, that those rigs are going to be delayed. As far as the look ahead into 2015, we're going to give the annual guidance at the Q4 call. So I really don't want to get into the real specifics at this point. I would like to highlight that as we see the delays in the project, it gives us additional opportunities to refocus our efforts on the completion side of the business. And this past quarter, we’ve been successful at gaining additional market share on that side. So it’s very optimistic for us and we remain within the annual guidance that we previously highlighted.
Robin Shoemaker – KeyBanc Capital Markets: Right. Okay, well thank you. If I could follow-up with one other question. At the time of your IPO and subsequently, you talked about one of the efforts you were going to make is to penetrate some international markets, which you felt were underserved and where Frank’s was underrepresented. And in those early phases of that, you would incur a fair amount of startup cost. I wondered if you could give us a progress report on that; specifically, with regards to some of the international markets that you’ve targeted and where we stand in terms of the costs you’ve expended and the revenues that presumably you’re starting to generate?
John Walker: Sure. With regard to international, the Middle East is coming from a small basis for us and we put a lot of focus and effort into the Middle East operation. And as we talked about in our Q2 call, we had some front-end loaded costs there with regard to training, with regard to mobilization of equipment, and all the associated operations. More so within the Middle East, Saudi Arabia has got a lot of opportunity for us and the types of well architecture that’s going to be embarked upon in some of their new areas, we see a good match for us with the technology. So, as far as the Middle East is concerned – also in the Abu Dhabi area, there’s a substantial amount of opportunities for us in that market, along with, as I mentioned earlier, Egypt. Egypt, now that we’ve settled down politically in Egypt, the investment is continuing to proceed and we’ve been successful with our drilling optimization technology, the HI tool, in that sector of the market. Also, I’d like to highlight, earlier this year, the Latin American portion of our business had a stall out and we put a lot of focus on that and there is a lot of opportunity, actually, Q4 and then into 2015. A lot of the E&Ps have confirmed that they’re proceeding with exploration campaigns and the tenders have been coming through. We’ve been, let me say, very successful with that.
Robin Shoemaker – KeyBanc Capital Markets: Okay, great. I appreciate the update. Thank you.
John Walker: Thanks Robin.
Operator: Thank you. The next question comes from Ian Macpherson from Simmons. Please go ahead.
Ian Macpherson – Simmons & Company International: Thanks. Good morning.
Keith Mosing: Good morning. Ian.
Ian Macpherson – Simmons & Company International: Good quarter notwithstanding the loop. Has that been a continuing headwind for you in October or early November and would you be able to provide any sort of form of reference for how big of a headwind it was in Q3?
Keith Mosing: Sure. In Q3 we had five of our operations in the Gulf of Mexico were affected by loop currents and it was an inconsistent period where depending where the well activity was whether we would actually be mobilized or not, because once that were latched on we’re mobilizing and the drilling proceeds the well execution proceeds. For Q4 the impact has been significantly less where we, in the early part of October, we were down to one rig operation that had been affected by loop currents.
Ian Macpherson – Simmons & Company International: Okay, thanks and you highlighted a lot of impressive share increases and significant awards internationally. I’m going to ask you also the deepwater rig contracts it had been awarded in the past quarter domestically have been the independence it’s been have and known and deep Gulf et cetera. How d you have the tubular services contracts for those rigs been awarded yet and how do you see yourself positioned on those.
Keith Mosing: It's a mixed bag there because they haven't all been awarded but we're starting to see the same level of success as we’ve had in the past as far as market share in fact certainly from an exploration and the appraisal aspect as we move into the development phase of some of these projects with the completion equipment has more of an emphasize in value. We’ve been seeing success there we’re goes back to the quality of service and the differentiating technology. If you look on a go-forward basis the undertone has been aware is about reducing well cost. This is where our client been a likes to choose the best-in-class, someone who can actually optimize these well reduce well cost at well center and that is done by differentiating technology our whole model is predicated on well cost reductions and sustainability it can’t just be the one time application. And one good example of that is in the Gulf of Mexico recently, this is just the tail end of the Q3 was we installed 25,000 feet of casing and landings in the Gulf of Mexico with our extended reach technology that casing concluded over £2 million of casing into the well bore. And that is a significant achievement from the client and also from our sales we say didn’t protect of the clients investment as you know a deepwater well in the Gulf of Mexico can far exceed $100 million. So that type of approaches how we’re going to continue to develop that sector of the business. In addition to that, as we move into the shelf, we are on the shelf, but as we continue to develop share on the shelf and the wells get more complex in nature, it just allows us to then emphasize the technology again.
Ian Macpherson – Simmons & Company International: That’s good color thanks. And I have a couple more, but I’ll in queue.
John Walker: Okay. Thank you.
Operator: Thank you. Our next question comes from Ole Slorer from Morgan Stanley. Please go ahead.
Ole Slorer – Morgan Stanley & Co. LLC: Well, thank you very much and again, echo, good results good to see you guys back on track again.
Keith Mosing: Good morning. Thanks Ole.
Ole Slorer – Morgan Stanley & Co. LLC: Yes, you highlight good momentum in offshore drilling and your rig count yet the headline sort of global activity numbers are pretty flat this year and let’s assume they look pretty flat into next year as well. What is it that striving your reference to increased rig count? Is it activity is a switch? We’re being a big switching from exploration and appraisal to worse development drilling at the moment. But I would imagine that might have some impact on you or is it a pure market share your rig count going up or could this clarify a little bit what you mean?
Keith Mosing: Absolutely. So Ole, in regards to your answer to the question there as we move in from the African exploration into the development campaigns in the subsea developments, that’s where we have substantial differentiating technology that will allow us to reduce well costs. In addition to that Brazil is an opportunity for us where we just started that wiser running application that’s been in the pipeline for coming up for a year it’s taken a year for them to get to this point but we finally mobilized and that’s a multiyear contract. And that’s with the larger national down there. And that gives us a significant opportunity with that client to show the differentiated services that we can offer because we have previously been successful in Brazil, but we elected not just flood the market on a price point basis. We really held firm and our technology and we’re starting to see some traction at that point. So in answer to your question about 2015 we’re still waiting as everyone as to see where the E&P’s are going to allocate our capital, that would be in a global portfolio and having the technology on hand we should be in a good form. And to Keith’s point earlier, in the event that there is some flattening within the market, which is highly likely, we can then use our balance sheet to optimize in some of these valuations of being more realistic.
Ole Slorer – Morgan Stanley & Co. LLC: So if there is, let’s assume, a flat market, I believe that’s completely unrealistic, but you see that as boiling out or is really cutting back on exploration drilling and the prioritizing development drilling. What is the lever on development drilling for you relative to exploration and appraisal?
Keith Mosing: For the development, so once the well is drilled and it’s cased, the conduit’s cased, that final completion string that’s going to go in for the well production life of up to 10 to 15 years there’s a lot more focus on not just the speed and what you have to run into the wellbore and get sealed is the well integrity side. So we have a suite of technology tools that can validate the well integrity and we’ve been successful and actually talk about Norway, as I mentioned earlier, that we’ve been successful in Norway with the client there with that technology and we see more opportunity going forward there.
Ole Slorer – Morgan Stanley & Co. LLC: And finally, if I may, we’re seeing some changes, let’s say [Libra] (ph) on managed pressure drilling and techniques that are designed to drill faster. If you move towards more managed pressure drilling offshore and deepwater in general, West Africa and Brazil, how does that impact, if at all, your business?
Keith Mosing: Two aspects of coming further up the whole. As we go to casing drilling, we have a suite of tools with the CRT tools and those tools actually allow us to rotate the casing into the wellbore. And then as we get to the managed pressure drilling aspect of the business, the quicker that they can actually drill that bore, then the better for the client, reduction in costs and the bores will be deeper. The theory, of course, is to get deeper with the conduit larger size. And as we get there the deeper casing streams matches with the high-capacity handling tools that we have to install in the wellbore. So, from an overall evaluation perspective there is no material difference in our business and certainly not from a negative standpoint.
Ole Slorer – Morgan Stanley & Co. LLC: Maybe positive. This is very finally, if I may, on the Eagle Ford and West Texas, very impressive growth numbers. But you historically highlighted that North American land is a mom and pop business, more fragmented, lower margins. So with those kind of growth rates now demonstrated in the U.S. land, how come and how should we think about your margin outlook as a result of a bigger percentage of pursuing lower margin business?
John Sinders: Ole, this is John Sinders. How are you? Obviously as we expand land and we’ve expanded at a greater growth rate or a greater overall amount to offshore which we don’t anticipate that to happen, but if it were, I mean this got all of our margins so automatically our margins come down on a corporate bases. So I think what you have to do with us going forward and what we’re trying to do is what segment by segment so we can guide you towards your modeling and how to view margins in each different segment, I mean right now our margins are onshore actual better than we had expected, we are in low 30s and we have some economies scaled it rashly achieving as we’ve entered into our new marketing campaign, but I mean clearly that reduces our overall corporate margins, because our margins and then in our offshore areas of North (indiscernible) and…
Ole Slorer – Morgan Stanley & Co. LLC: And John I’m very happy as long as you keep on writing North American landmark, it’s in the low 30s, it’s still very good margins, they are helpful, if you help, break it out going forward but I handle it thank you very much.
John Sinders: (Indiscernible).
John Walker: Thank you.
Operator: Thank you the next question comes from Brad Handler from Jefferies please go ahead.
Brad Handler – Jefferies & Co.: Thanks, good morning guys.
Keith Mosing: Good morning.
Brad Handler – Jefferies & Co.: A quick one maybe just to start, can you update us on deferred revenues and how that progressed in the third quarter?
Keith Mosing: Well we, it’s a good news, bad news story, we have more differed revenues and so it’s right now in right around $77 million and that’s the bad news I guess, the good news is as you know about our differed revenues we get paid, we just can recognize income at this time some of the revenue that we’ve recognized, I mean there was in the differed revenue we will be recognized in 2015. Some of the revenue about $40 odd million is with one client and we’re working with him to find ways to recognize it earlier, but fundamentally differed revenues not that matter of thing, I mean essentially it’s partly what that business has I mean a large part of that business not the majority but a large part is clients coming in and we help them manage their pipe logistics. And because of that you are going to have differed revenue because they’re going to be getting pipe and connecters with us did they plan on taking down at a later day. So it’s not something that we are out there discouraging clients from doing as we want to business, we just want to try to manage it a little better. So that we can have more forward a better forward feel on recognition. And what we do and we started doing this sometime ago, we guide you on revenue recognition in Tubular sales that excludes deferred revenues, so we don't throw that in there. So the way we look at it deferred revenue as we – as it does get booked is almost like (Indiscernible) a little something extra that comes through.
Brad Handler – Jefferies & Co.: Understand. And I guess that, I think rightly or wrongly you can steer me otherwise, I guess we're latching onto a little just thinking about. That was something about customer behavior, right. Not executing projects as quickly as they expected to or they guided to, maybe you’re going to tell me that’s probably not the right way to look at it?
John Walker: Not exactly, no. I mean it really is – it really is a logistics function as much as anything. There certainly are changes in customer expectations on their wells and the timing of their wells and so that’s probably why they contract with us. So they have the luxury of having that flexibility. But there's nothing in it in the deferred revenue that is reflective of any drop off and drilling plans or anything of that nature. I mean, if we see something like that we’ll certainly keep you updated.
Unidentified Company Representative: And the key thing to close in this point, Brad is that, as we’ve mentioned earlier we’ve hired a new head of tubular sales and just restructure in that that part of our business will allow us to develop efficiencies. So we’re confident in that area, it’s just going to take a little bit time and pass to going forward in confident.
Keith Mosing: Brad, this is Keith Mosing I just want to add what John and John just said. This actually shows up on our books, now that we’re public company, but this is actually a service for our clients, we provide pipe yard and so if it doesn’t leave our yard for our facilities. We can't look it, but it’s actually a service that we’ve been doing for many, many years to take care of our client to actually he can inventory his purchases from us in-house, but now that we're public, we can't actually book it. But it’s not necessarily a bad think. And if you can add it to what we’re doing is, it’s really quite positive in the client. You know the client is eventually going to use it and when he uses it eventually we are going to do the work on it.
Brad Handler – Jefferies & Co.: Right.
Keith Mosing: So it’s not necessarily a negative think, it’s a service we’ve been proving for many, many years.
Brad Handler – Jefferies & Co.: Understand, I appreciate the extra color and it does make sense. Okay,
Keith Mosing: Thanks Brad, sure.
Brad Handler – Jefferies & Co.: Maybe just a one more from me please. I recognize you’re going to give us more of a (Indiscernible) soon coming to early next year or your visibility to get that much better. But I guess I can curious about the North Sea if you can speak to it even generally, your views on where the North Sea might be headed next year. There is certainly a sluggishness in contracting for rigs, it feels as though it is poised to perhaps to take a step back next year, and I guess I’m just curious how you see that, have you improve that?
John Walker: Sure. There is quite a substantial amount of tendering going on at the moment within the tubular services demand for Europe, and so it’s ongoing. So there’s no specific conclusion I can come to you at this point. However, the Norwegian portion of our market as we’ve identified it’s been the primary portion of our market with 40% sequential growth revenue. The contracts in Norway are long-term in nature, and yes, we’ve seen recently on deferrals from the large national there. But that has not affected us, that’s not portion of the business that we were participate in them. So as far as the remaining part of the business in the European or the Norwegian sector it’s looking optimistic for us for 50, as far as the reminding part of Europe within Holland and region in the central Europe, we know that there has always been an economic slowdown there, as well as the oil price contraction. So we’re just monitoring like everyone else, but we’re certainly not getting any much of swings in a negative form.
Brad Handler – Jefferies & Co.: Okay, that’s very helpful. Thanks. I’ll turn it back.
John Walker: Thanks Brad.
Operator: Thank you. The next question comes from Jim Wicklund from Credit Suisse. Please go ahead.
James Wicklund – Credit Suisse: Good morning guys. Good quarter.
John Walker: Good morning Jim.
James Wicklund – Credit Suisse: Good hit on the numbers. And I know again we’re not talking about 2015 particularly, but the jack-up market, I think you guys mentioned that one of the things that helped out was the shelf in the quarter, and I know that earlier this year you guys have started to staff up to make a bigger penetration in the jack-up market. Have we seen any changes in the jack-up market? I guess there has been several idled in the Gulf of Mexico, but more on a global scale. Has the outlook for the jack-up market changed in the last quarter or two?
John Walker: As far as to get to your question we’ll start with the floater market. The floater market we’re seeing 36 rigs coming out by the end of 2015 of which 50% are still on contracted. So we’re keeping a close eye on that, in parallel with it, the larger volume uptick something in the region knows that 70 rigs in the jack-up side is going to be coming out. So the ones that we’re focused on are the higher and jack-up where we completed the most value at the well center and the well architecture. So as these rigs are being contracted we're immediately following up with the type of well architecture its happening. So we're not seeing a significant slowdown in the target market that we're approaching. Now we are seeing and hearing, of course, deferrals and slowness coming out of the shipyards. So at this point we're just not seeing a significant impact on our forward outlook.
John Sinders: Particularly we're seeing some of the new more sophisticated jack-ups activity in the North Sea in the Norwegian sector and that's an opportunity for us actually. So overall clearly jack-up count is falling in a lot of markets and particularly, when you're looking at more conventional drilling. In the North Sea is positive right now for us at least. And the Middle East isn't doing badly either and that's a growth opportunity we're focused on for 2015.
James Wicklund – Credit Suisse: Well. Correct me if I'm wrong, but you guys don't have a whole lot of exposure to third and fourth generation floaters in general anyway relative to the fleet and if you're going to increase your focus on jack ups now, I guess the time to be hitting the newer high spec and not having a big in trench position and lower in shallow water that's probably not bad timing. Is that a good way to look at it as a right?
John Walker: Yeah. That’s right.
James Wicklund – Credit Suisse: Okay. My second question if I could which business has a better margin you talk about how exploration slowing down, but it plays into your completion business. Which one would you rather do from our margin point of view?
John Walker: We love all business and spoken like a true company guy. Probably really complex exploration wells have the highest margin.
James Wicklund – Credit Suisse: Okay.
John Walker: But the margin on the completion well – on completion activity it’s very strong and it’s very steady. And so the completion the nice thing about it is once you get that going and development campaign going it’s something that just almost a manufacturing type of thing. And we have some very proprietary technology.
Unidentified Company Representative:  Jim just interject, I'm sorry John. If you take a close look at the subsea wellhead manufacturers and you can see that the backlog that they have coming out and through the pipeline 2015, 2016, and that’s an indicator of the subsea well activity that will happen globally, and that's where we can create a significant about the value when the subsea wellhead driven place they are going to complete those wells and that is where we were differentiate with the completion services.
James Wicklund – Credit Suisse: Okay. That’s very helpful. Thanks, guys. I appreciate the help.
John Walker: Thanks, Jim.
Operator: Thank you. The next question comes from Jeff Tillery from Tudor, Pickering, Holt. Please go ahead.
Jeff Tillery – Tudor, Pickering, Holt: Hi, good morning.
Keith Mosing: Good morning.
Jeff Tillery – Tudor, Pickering, Holt: My question is really just around the international services margins. If I look back on the last quarter obviously it was hurt by some of the costs that didn't recur this quarter looks like it was helped by some of the mix of work, but should I think about those two EBITDA margins as kind of endpoints, so which reasonable over the next kind of – as we step forward kind of 38% to 46%? How should we think about the services margins internationally?
John Walker: I mean you can absolutely look at them as goalposts. And what happened last quarter and we mentioned that we have some expenses that we incurred and wearing you would see the revenue recognition there from the following quarter. And so, that’s partly what you’re seeing here. And so, and we also mentioned kind of mentioned before that our business is a little lumpy. I mean it's not as – when you look at our business I mean, on some of the rigs that we’re on we can make $3 million, $5 million on a rig and on a job. So you’ll have expenses to gear up and it isn't always completely covered or matched in the quarter and so you can have that type of I guess overlay between one quarter and another. So I think yes, you’re right, we don’t see any reason why it should be less than $37 million, and where I think I’d be shocked if there were more than $46 million, $45 million, going forward. So between those some were – we look internally is a high 30s, low 40s that is what we expect.
Jeff Tillery – Tudor, Pickering, Holt: Okay, John. Thank you for the answer. That’s all I had. Thank you.
Operator: Thank you. We have a question from Michael LaMotte from Guggenheim. Please go ahead.
Michael LaMotte – Guggenheim Securities LLC: Thanks, good morning, guys.
John Walker: Good morning.
Michael LaMotte – Guggenheim Securities LLC: And let me also offer my congratulations on the quarter.
John Walker: Good morning.
Michael LaMotte – Guggenheim Securities LLC: Question for John Walker, you’ve mentioned in your prepared comments the new contracts Nigeria and Angola. I know that, there’ve been some chatter in the market increased competition in West Africa with obviously some of your bigger competitors now back in active the net market. Can you comment on the competitive landscape there and perhaps the impact on pricing as it pertains to that new work?
John Walker: So a little bit of color on that one in regard to the Southern Part of West Africa, example June exploration phase one the market start sub. So we have differentiated technology that we developed in the Gulf of Mexico and subsequently admitted to West Africa in the lower portion. When the tenders come out and we go into development phase, it became very clear that we have differentiated technology that would reduce their well cost. So it was a lot easier for us to justify the difference in price to the client. So we’d be successful in that domain on multiple occasions throughout this year. Regarding exploration there was a flurry of activity in the North and Northwest portion of Africa with a mixed bag of results some not so good and then good potential for 2015. And in that area there was a little bit of price point push we’ve reacted to it its natural, but we now subsequently secure the contracts, and then we will and explain to know about there is a better way to do it. There is a more cost effective way to do it. And that’s offering our differentiating technology again. So we’ve been successful this year applying that methodology and we’ll just continue to focus on that market.
Michael LaMotte – Guggenheim Securities LLC: That’s great color. Thank you. I’ve also noticed that over the last three or four quarters there’s more discussion about the tools in the tool portfolio. Just curious on as we looked out over the next 12 months or so is that trend going to continue? Do have new technologies and tools that will be rolling out over the next year?
John Walker: Yes, we continue with our research and development group developing the technology. And I don’t actually have the number at hand, but we happy to talk to you off-line about the patents. The general numbers are 250 patents globally, and patent portfolio is still strong. It’s not that there is depletion in the near-term. We actually keep on adding patents and patent applications to that portfolio. So from a health standpoint and a competitive advantage, again, we feel confident in the area.
Michael LaMotte – Guggenheim Securities LLC: And in terms of the revenue impact we see both obviously on the equipment side, but the pull-through and in terms of contract wins, just as you described in it was Africa correct?
John Walker: Correct.
Michael LaMotte – Guggenheim Securities LLC: All right. Thank you.
John Walker: Thank you.
Operator: Thank you. The next question comes from Georg Venturatos from Johnson Rice. Please go ahead.
Georg P. Venturatos – Johnson Rice & Company LLC: Hi, good morning, guys.
John Walker: Good morning, George.
Georg P. Venturatos – Johnson Rice & Company LLC: Just had a couple follow-up questions on the jack-up opportunity that obviously you all have discussed. Just wanted to see if you could provide us an update on where you are from a market share perspective. I believe you’ve talked about kind of low teens most recently, and then given the new build supply that’s coming online that (indiscernible) is in your wheelhouse on the high spec side where you would anticipate that potential market share going over the next couple of years.
John Walker: You know in jack-upside – we really don’t have any better market share numbers than we gave you last quarter, we're still somewhere right in the low to mid-teens. And that’s going to take time to move up. On the floaters start of the market we've really been reluctant and it never given precise market share and probably won't do that now either. But we see it increasing what’s leave it that’s and especially on the completion side.
Georg P. Venturatos – Johnson Rice & Company LLC: Okay, and then just a follow up on that, in term of margin profile within jack-up work first, which you’re doing deepwater floater side how do those of those at (indiscernible) expectations to those comparing overtime?
John Walker: That means, it really the problem with jack-ups is that you have all kinds of different work on jack-ups. I mean on some of the simpler jack-ups or smaller jack-ups, we might do hammer work or some of the more sophisticated and newer jack-ups that you see in the North Sea, you’re going to have more sophisticated drilling parts of, even in some shallow water jack-up in Gulf of Mexico, if you are doing (indiscernible) area or something like that. So is really hard to generalize, I mean, by and large it's lower margin within our floaters. But to put one number on it's just not fungible, the opportunities varied tremendously, I know that doesn’t help you George, but as we get a larger number and market share will start to see some trends that we could probably call out or and identify for using to help on your modeling, but right now, anything I would give you would be misleading.
Georg P. Venturatos – Johnson Rice & Company LLC: All right. I appreciate that, understood. Thanks for the answer John.
John Walker: Sure.
Operator: Thank you. We have a question from Mark Brown from Global Hunter Securities. Please go ahead.
Mark Brown – Global Hunter Securities: Hi, guys. I was wondering – congratulations on the U.S. land growth and it seems like you've made a huge amount of progress in that business. I was wondering how broad-base is the growth you called out the Permian and Eagle Ford specifically. But is that – are you targeting certain markets to focus your resources or is that fairly broad-based in terms of your new strategy?
John Walker: So as I would answer that question, simply it's broad-based. We appointed this single head later on in this year we consolidated our sales efforts and we came up with targets and are proud at the sales team. The sales team of executed the plan and our operations team has followed behind it and maintained the market share. We don’t see there should be no significant reason as to why we’d have contraction in that area, but as we mentioned it’s going to be flat in that area for Q4 and the rationale behind that is we’re going to have some stair stepping going on. We can’t just all of a sudden just see continual compounded growth there. So we’re going to stair step our market share penetration and things are looking optimistic in that segment.
Mark Brown – Global Hunter Securities: Okay, thank you. I just wanted to ask, you called out in the prepared remarks your Fluid Grip automated tong for a large IOC in the North Sea, and I was just wondering if there was – what was the significance of calling that out and highlighting that? Is that kind of a new version of the technology or is it just a new market or new customer? I don’t know if you have any color that you could provide?
John Walker: Sure. It’s a slightly new version of the technology where it has higher capacities and it can attract a wider array of tubular. Now without getting into the technicalities of it, the value that it creates as they should extend the well production life due to mitigation on the corrosion aspect of the tube. So that was the reason we brought it out, it’s a complete differentiated technology unique to our Company. We certainly have had it in different markets for over 10 years. However, we’ve revitalized that product and we have a new marketing campaign going forward.
Mark Brown – Global Hunter Securities: All right. Last question for me it’s just in the Gulf of Mexico. Is there any potential for catch-up work in Q4 in the Gulf given once those rigs that were down come back online? Any chance that the customers will accelerate the work in the Gulf?
John Walker: An interesting question there, because I talked to our U.S. Gulf of Mexico leadership team and they came back and I asked that exact same question, and they said. Well, it’s not like a haircut. You don’t have two in the quarter, you just have one and if the work has slipped because of weather, it’s slipped. It doesn’t go away, it just slipped. So as a result of that allowed us to penetrate additional markets in the completion side of the business and also the shelf and that offset and we’re pleased with our numbers.
Mark Brown – Global Hunter Securities: Well. That makes sense. Thank you. Great quarter.
John Walker: Thank you.
Operator: Thank you. We have a question from Tom Curran from FBR Capital Markets. Please go ahead.
Tom Curran – FBR Capital Markets & Co.: Good morning, guys. Thanks for passing me the mike. Very helpful Q&A so far. I guess returning to the North Sea, first, for Norway, could you clarify how much market share gain, if any, contributed to the 40% sequential increase in revenue? And then on the UK side, I know that’s been a long-time opportunity for greater market penetration, is that dependent, to any degree, on either the floater or jack-up side or specific customers? And What I’m trying to nail down is depending on how the UK market evolves, will that determine the potential opportunity for share gain in 2015?
John Walker: So we don’t actually breakout the market share by region for the markets, but as far as the European sector as a whole, Norway is the number one sector of the market for us. As far as the UK is concerned, there’s a substantial amount of tenders that are on going right now. And there’s a possibility that we would secure some of that business. We’re only approaching that business on the basis of what value it would create for the client and where the margin would be for ourselves. So we’re just not going to drop the price point on that to penetrate the market. So it’s difficult for us to really articulate at this point as to what the conclusion will be. If the market grows in the UK sector, we would expect to have a small addition to it, but by no means is there going to be a significant material change from what we’ve guided for Q4 and then in 2015. As I say, we’ll guide for 2015 in the Q4 call.
Tom Curran – FBR Capital Markets & Co.: All right Thanks for that, John. And just a clarification, the tenders you’ve referenced a couple of times now, are those primarily for floaters, for jack-ups, combination?
John Walker: It’s actually interesting. It’s floaters, but there is also some platform work as a lot of mature platforms that are looking for some stimulation, well intervention and stimulation, and there’s actually some platform work looking for abandonment. So they’re actually abandoning the platforms. So all those portions of the business is a tubular opportunity for us and that’s generally where the tendering process is around at the moment.
Tom Curran – FBR Capital Markets & Co.: Okay. And then turning to the Gulf of Mexico, I know when it comes to the mix of your revenues by job stage; you’ve been focused on growing the portion you derive from the most lucrative production stream installation phase. Could you give us a sense of where you are at with that effort? In other words, a rough idea of what it contributed to revenues in 3Q versus a year-ago.
John Walker: We really don’t break that out. Let’s – we can’t say this – the renewed focus on completion work with our proprietary technology has – we haven’t seen an increase in market share everywhere we’ve done that and pushed it. And that’s about as much as we would want to go into.
Tom Curran – FBR Capital Markets & Co.: Okay. My last one, I guess, is a jump ball, but could you just provide us with an update on how the acquisition prospects pipeline has evolved since the last call?
John Walker: Yes. I mean it’s moving on. I mean the one good thing about some of the other stock prices coming in and is that – I mean our balance sheet is perfect. And Keith loves to buy things when markets are little more in disarray and so do I because the chance for companies to go public and to do leverage recaps and all of that type of stuff that keeps – pushes up their value, it doesn't exist right now. So we are the liquidity source. And I would think that we are going to have we could see an increase in acquisition activity, but we haven’t done any so even one would be an increase, but I think we can see an increase in the next year.
Tom Curran – FBR Capital Markets & Co.: I'm sorry go ahead.
John Walker: Just keep moving, I'm sorry. It’s not like we are not looking and John and I have reviewed several but we just feel that the margins are a little bit too high right now. But we are always ready and we are always looking for opportunities, I can assure you that.
Tom Curran – FBR Capital Markets & Co.: All right. Thanks for the answers guys. I appreciate it.
John Walker: Thanks, Tom.
Tom Curran – FBR Capital Markets & Co.: Thanks.
Operator: Thank you. We have a question from Ian Macpherson from Simmons. Please, go ahead.
Ian Macpherson – Simmons & Company International: Hi, thanks for taking my follow-up late in the call. I just have a couple of nitpicky ones on the fourth quarter or the implied fourth quarter guidance, John, I think you did reaffirm that you're looking for your land revenues to be flat to down. So, your guidance for full-year to be down 10%, that looks like it's too low, correct, if you're flat to down, the year should be down 4% or 5%? Just want to confirm that.
John Walker: Your math is correct. On the other hand, we really our – the fourth quarter is a seasonally weak quarter on onshore.
Ian Macpherson – Simmons & Company International: Yes.
John Walker: And so we really don’t want to update our guidance, but I mean the math that you are coming out is correct.
Ian Macpherson – Simmons & Company International: Okay.
John Walker: So what you can add up everything we gave you and come up with what we've guided for the full year.
Ian Macpherson – Simmons & Company International: Sure.
John Walker: Because onshore has been stronger to date. And so therefore it doesn't foot.
Ian Macpherson – Simmons & Company International: John, thanks. The more important curiosity I had, really, was your EBITDA guidance, 37% to 39%. I think you were at 39.1% in the first three orders. Could you instruct us whether there is something particular in fourth quarter that could skew down into the midpoint of that range?
John Walker:
Ian Macpherson – Simmons & Company International: I understand. Thanks a lot.
Unidentified Company Representative : Thank you.
John Walker: Thanks, Ian.
Operator: Thank you. I’m sorry, we have no further questions at this time.
Keith Mosing: Okay. This is Keith Mosing. And I just wanted to thank everybody for their interest in falling along with Franks. Let everybody know that even though we’ve only been public now for a little over year 14 months. We’ve been in business servicing this industry for over the last 76 years. We are very pleased with our revenues. We are very pleased with our growth. And also, our future looks really, really bright and we are a strong company. And no matter whether the markets up or down. I think we'll prevail just like we always have. And so, again I want to thank everybody for their support and interest. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.